Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Cardlytics Fourth Quarter 2020 Earnings Conference Call. At this time all participants lines are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised, that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your host, Kirk Somers, Chief Legal and Privacy Officer. Please go ahead.
Kirk Somers: Good morning, and welcome to Cardlytics fourth quarter and full year 2020 financial results call. Before we begin, let me remind everyone that today's discussion will contain forward-looking statements based on our current assumptions, expectations and beliefs, including expectations about future financial performance or results, our financial guidance for the first quarter and year of 2021, our ability to achieve our key long-term priorities, the launch of U.S. Bank, growth in FI MAUs or monthly active users, the increase in our connectivity to our MAUs, the return to year-over-year growth, the launch of our new user experience, the increase in ARPU or average revenue per user, our cash position, the impact of COVID-19 on our business and the economy as a whole, including the stabilization of the economy and potential improvements in the economy, the impact of our rise, retain and return strategy and the sufficiency of our capital structure, continued momentum in 2021, and the closing and anticipated benefits of our acquisition of DOSH Holdings, Inc. For a discussion of the specific risk factors that could cause our actual results to differ materially from today's discussion, please refer to the Risk Factors section of the company's 10-K for the year ended December 31, 2020, that we filed earlier today and in subsequent periodic reports that we file with the Securities and Exchange Commission. Also during this call, we will discuss non-GAAP measures of our performance. GAAP financial reconciliations and supplemental financial information are provided in the press release issued today and the 8-K that has been filed with the SEC. Today's call is available via webcast, and a replay will be available for one week. You can find all of the information I've just described on the Investor Relations section of Cardlytics website. Please note that a supplemental presentation to our fourth quarter results has also been posted to our Investor Relations website. Joining us on the call today is Cardlytics leadership team, including CEO and Co-Founder, Lynne Laube; and CFO, Andy Christiansen. Following their prepared remarks, we'll open the call to your questions. With that, let me turn the call over to Lynne. Lynne?
Lynne Laube: Thanks, Kirk. And thank you to everyone for joining us on our fourth quarter and full-year 2020 earnings conference call. We're pleased with our Q4 results which exceeded the high-end of our guidance for both billings and total revenue. I'm proud of the Cardlytics team for their ability to adapt and continue executing on our multi-year strategy in what was a challenging year. Before moving to our results, this morning we announced that we entered into a definitive agreement to acquire Dosh. Andy will discuss the financial details later in the call, but I'd like to take a moment to discuss our strategic rationale for this acquisition and why we believe it's a great opportunity for continued growth. Dosh is a company we followed for a long time. We've been impressed with their team and their platform. And we believe that their business model fully complements our efforts to drive continued growth. There are four key benefits and capabilities I would like to highlight. First, Dosh has an easy to integrate technology platform which is a proven solution for neo-banks, fintechs, and non-financial organizations. Second, Dosh brings partnerships with multiple neo-bank and fintech players including Venmo, Betterment, and Ellevest. While in the early stages, we believe these partnerships have meaningful long-term potential and naturally align with millennial and younger consumers who are generally not with our traditional large bank partners. Third Dosh's platform also enables new advertising solutions, including a solution for small and medium advertisers and expands our capabilities for advertisers in the travel industry. And finally, Dosh has a B2C app that enables them to implement consumer test and learn strategies. Being able to test new products and features and quickly learn what drives the highest consumer engagement allows advertisers to increase their return on ad spend. These results are then shared with our larger financial partners to drive faster scale deployments. We believe this acquisition will benefit all of our combined partners, create new engagement opportunities, and further strengthen our ability to deliver great value to our advertising clients. I'm excited to welcome Dosh to the Cardlytics team. Now, let's turn to some highlights from the fourth quarter. Total billings were $94 million, down 7% year-over-year, and up 51% sequentially from the third quarter of 2020. Total revenue which is equal to billings net of consumer incentive was $67.1 million, down 3% year-over-year, and up 46% from the third quarter of 2020. And adjusted contribution with $29.7 million, down 4% year-over-year, and up 51% from the third quarter of 2020. Our better than expected Q4 results reflect sequential billings growth across nearly all of our advertising verticals. We are encouraged by the consistent month-over-month growth in our billings since the height of COVID impacts in Q2. It's worth highlighting that we saw fourth quarter billings from our restaurant clients more than doubled sequentially from Q3. And importantly, 12 of the top 15 US restaurant chains were live on our platform in Q4. It's also notable that our US billings returned to pre-COVID levels in the fourth quarter and were essentially flat with Q4 2019. We are pleased with the momentum we're seeing in our result and we believe this will continue throughout 2021. This momentum not only reflects the continued gradual recovery of consumer spending, but it validates the successful execution of our rise, retain, and return strategy. Let me share with you a few examples of how we're executing against our strategy and delivering value to new and existing advertising partners. In the retail category, we were able to successfully secure additional budgets from key advertisers in Q4 by driving incremental sales from their current loyal customers in addition to their existing programs designed to acquire new customers. This initiative not only drove additional Q4 billings but positioned us for larger annual budgets in 2021. Cardlytics also worked in lockstep with one of the largest businesses in the US to help them launch their new membership subscription service. I am pleased to say we exceeded our partners' expectations in terms of net new subscribers in Q4, putting us in a great position for the upcoming year. Additionally, we secured our first test budget with a top-five restaurant chain in the US that was interested in driving incremental purchases from both new and lapsed customers. In our direct-to-consumer vertical, we've proven our effectiveness to one of the largest wireless service providers in the US. As a result, this marketer has more than doubled its upfront annual spend commitment with us in 2021. Our self-service platform continues to progress. Agencies and direct clients are expanding their investment with new larger campaigns. Like prior quarters, we are working with them to create the best user experience possible. Each quarter moves us closer to sourcing material ad budgets via agency partnerships and with small and medium size advertisers. As for MAUs, we have over 90% of our MAUs connected to the platform and looks to get around 99% connected as we move forward with the U.S. Bank launch. Our MAU base grew to over 163 million in the fourth quarter, up 23% year-over-year, largely due to the launch of Wells Fargo. Our launch preparations with U.S. Bank remain on track and we expect them to launch with the version one of our new user experience in the first half of 2021. We expect that MAU growth will eventually stabilize in the low to mid single digits in the future course. With that, I will turn it over to Andy.
Andrew Christiansen: Thank you, Lynne. We're excited to announce the acquisition of Dosh. And I'll echo Lynne in welcoming the Dosh team in Cardlytics. I believe this acquisition will create many long-term opportunities to grow our business together over the coming years. We expect our balance sheet and liquidity will remain extremely strong following the acquisition. We ended the year with $293 million in cash and cash equivalents, compared to $288 million at the end of Q3. Depending on the timing when the deal closes, we expect our total cash position to be over $140 million. In December, we extended the term of our loan facility and increased the capacity to $50 million, which also remains undrawn at this time. Now, turning to the quarter and full year performance. We are pleased with our better-than-expected fourth-quarter results in light of the challenging environment, especially in the UK. As we've mentioned before, we expected to see month-of-the-month improvement in our results through the end of the year. Actually seeing this play out gives us a lot of confidence that our return to year-over-year growth is right around the corner. We'll see the usual seasonal sequential decline from Q4 to Q1. We're expecting strong year-over-year comparisons throughout 2021. But before I dive in the guidance, I'll share a few more financial highlights. Billings during the fourth quarter decreased 7% year-over-year to $94 million. The revenue decreased 3% year-over-year to $67.1 million, outperforming our prior guidance. On a sequential basis, billings and revenue in Q4 were up 51% and 46% respectively compared to Q3. US revenue during the fourth quarter increased 2% year over year. However, UK revenue was down 43%. Our UK business continues to be severely impacted by the pandemic and the recent lockdown that was implemented to slow the spread of the new coronavirus variant. Latest reports about the lockdown will slowly unwind between April and June, so we anticipate some continued pressure on our UK results in the near term. For the full year, total billings was $263 million, a decline of 17% year-over-year. Total revenue was $187 million, a decrease of 11% from 2019. Adjusted contribution was $29.7 million in the fourth quarter, down 4% year-over-year and up 50% sequentially from Q3 of 2020. For the full year, adjusted contribution was $82 million, down 14% from $95 million in 2019. Adjusted EBITDA was a gain of $4.5 million in Q4, which was 7% of revenue, compared to a gain of $6.9 million in Q4 of 2019, which was 10% of revenue. The decline was primarily driven by a $1.4 million decline in adjusted contribution and the increase in headcount to enhance our product development capabilities. For full year 2020, adjusted EBITDA was a loss of $7.8 million, compared with a gain of $6.1 million in 2019, which largely reflects the $13 million year-over-year decline in adjusted contribution. As we've discussed, the strategic investments we are making to support our long-term growth, including potential cost to support the acquisition and integration of Dosh, as well as the lingering effects of the pandemic, especially in the UK, may cause fluctuations in our quarterly EBITDA during 2021. As Lynne mentioned earlier, MAUs grew 23% year-over-year to $163 million in Q4, partially reflecting the Wells Fargo launch. ARPU during the fourth quarter was $0.41, down 21% year-over -year. As expected, ARPU continues to experience pressure year-over-year due to our significant MAU growth and more revenue. On a sequential basis, ARPU increased 41% from the third quarter of 2020. Our full year 2020 ARPU was $1.20, compared to $1.72 in 2019, reflecting the same factors impacting our Q4 ARPU. In the coming quarters, we expect ARPU to increase on a year-over-year basis, as MAU stabilize as a return to revenue growth. We had 27.9 million shares outstanding at the end of Q4. Weighted average shares outstanding during the quarter was 27.7 million, compared to 27.3 million during Q3 of 2020. Now, turning to guidance. Our guidance range is a bit wider than usual, reflecting a wider range of potential outcomes due to the lingering effects of the pandemic. Please note that depending on the circumstances, we may decide to withhold guidance in the future. Additionally, our guidance does not include the Dosh acquisition. We currently expect the billings of Q - in Q1 between $67 million and $75 million, revenue of between $47 million and $53 million, and adjusted contribution of between $20 million and $24 million. I want to remind everyone of the normal seasonal decline from Q4 to Q1 due to heightened consumer spending and advertising budgets that typically exist during the fourth quarter. For the full year, we expect billings of between $360 million and $400 million, revenue of between $250 million and $275 million, and adjusted contribution of between $110 million and $125 million. Overall, we've been pleased to see the business adapt to recover in a rapidly evolving landscape. And like many other companies, we've grown more comfortable in this operating environment. As Lynne mentioned earlier, there are a lot of great stories that underpin our return to growth, and those offer a glimpse as to why we're optimistic about our outlook for 2021 and beyond. As always, we remain very focused on growing long-term shareholder value and growing the relationships with our partners. And we now look forward to growing an expanded set of meaningful relationships through Dosh. Now, I'll hand it back to Lynne for her closing thoughts.
Lynne Laube: Thanks, Andy. Q4 was a solid quarter. We continue to make good progress across each of our long-term priorities of increasing the number of marketers working with us, bringing our solution to new advertising verticals, evolving the Cardlytics platform, and demonstrating operating leverage in our business. We're excited to work with our new colleagues at Dosh to drive growth vectors in our business. We're proud of our team and their response and resilience in this difficult environment in 2020. With that, I'll open up the call for your questions.
Operator: Thank you. [Operator instructions] Our first question comes from the line of Youssef Squali with Truist Securities. Your line is now open.
Youssef Squali: Great. Thank you very much. And guys, congrats on the transaction. So two quick questions for me, please. First, Lynne, maybe can you just speak to the trend so far you've seen in the quarter. We're two-thirds into it, anything surprising you so far in - in terms of business trends? Obviously, some deals like the UK continues to be under a lot of pressure, but I think you pointed to the US being already up year-on-year in the fourth quarter, so maybe you can flesh that out for us a little bit. And then on Dosh, can you maybe just unpack their tech platform a little more and contrast and compare. I'm particularly interested in their data. So is the data they have access to by linking me - or me linking my cards to the app any different than the data Cardlytics has on me? How much is that redundant maybe or complementary, et cetera? Thanks.
Lynne Laube: Yeah. Okay. So I'll take it. On the first question in terms of trends that we're seeing in Q1, nothing surprising. I mean, the UK continues to be down. US continues to seasonally [adjusted] [ph] well. We do want to point out Q4 is always their strongest quarter. So obviously, Q1 is down seasonally. But the continued trend of advertisers coming back and growing their budgets, we see. And I think we mentioned several examples in the earnings call around where Q4 was setting us up nicely for 2021. So we're feeling pretty good about the quarter and the year. In terms of Dosh, they do integrate with Visa and Mastercard and other APIs to get their data. So there is - there are some restrictions on both the amount of data that they get and the granularity of the data versus what we have by integrating directly with the banks. But it's similar. They also, because they are a direct-to-consumer application or in their direct-to-consumer application, get some additional data that we don't have. Remember, they get location data in a way that is probably much more specific and unique than the location data that we sometimes get. So we're excited about the ability to have use cases for some of our larger banks and show proof points on, for example, the value of location data. But generally speaking, their data is similar but less granular than ours. Does that help?
Youssef Squali: Yeah, yeah, no, that's super - that's super helpful. And just one last quick one on, just on the valuation. Can you maybe, and I don't know if - if now is the right time, but maybe, Andy, can you just speak to maybe the basis for the $275 million valuation, how you guys got there because you guys didn't provide any financials on this?
Andrew Christiansen: Yeah, thanks. Yeah, we certainly see a lot of [Technical Difficulty] up over time to realize some benefits of combining the two organizations, both from the revenue perspective, cost perspective, really, just made a whole lot of sense. And certainly, when we look at some of the growth potential they have with some of their - some of their partners, there are a bit different than ours. We - we happen to see a long runway for growth there. So really, it was just looking at a combination of those factors and really modelling it that way.
Youssef Squali: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Chris Shutler with William Blair. Your line is now open.
Chris Shutler: Hey, everybody. Good morning. I just want to follow up on the question around Dosh's technology. So my understanding is that they work with affiliate networks and thus can probably bring in more or different advertisers to the platform. They also don't require activation. So does that change your approach to activation at all? And maybe just elaborate a little more. I appreciate it.
Lynne Laube: Yeah. You are correct about both. They do work with affiliate networks but not exclusively, but some of their budgets do come from affiliate networks. And they do have a non-activation model where some of their - and direct-to-consumer applications and also their applications with their partners. We are going to study them, obviously, and see what we like about their platform relative to what we like about our platform and take the best from both. Certainly, some of our larger FIs have expressed interest in kind of more of an always-on type of offer, which, of course, has a lower value and has less - there's a little bit more friction for the consumers. But certainly, they've done it in the most frictionless way possible. And so we'll learn and probably take some of those practices. So we'll continue to have, of course, our core platform, which drives - which is the reason we can go after non-affiliate budgets is because of the way our core platform works and that we do actually require activation which in turn drive this mentality. So it'll be a blend of both, I'm sure over time.
Chris Shutler: Got it. Okay. And then yeah, I actually noticed in the app recently just looking at my own bank apps that I've seen a couple of offers recently with the shop local banner included. So just curious what those are, if you're sourcing them in a different way? And then maybe just regarding Dosh, how are they sourcing their local offers?
Lynne Laube: So that - the shop local that you see in our current application is we have a couple of banks who are really excited about helping local businesses, and so we do partnerships with them. They're not necessarily sourced any differently, but it's through the Cardlytics and bank partnership relationships. But Dosh, themselves, they actually have a partnership with Rewards Network, which has a - an extensive amount of hyper-local offerings and that is definitely something, especially when we implement our new user experience, that we'll be looking at. The challenge with hyper-local today is in our existing user experience, it kind of gets lost if you will. That's one of the big advantages of new user experience is we'll be able to have specific unique places where customers can go to get their local content. And I think that partnership with Rewards will be very valuable for us.
Chris Shutler: Okay, great. And then just lastly on the - on EBITDA. I know you're not giving any formal guidance for 2021, but any high-level commentary you can provide, especially as you bring in Dosh?
Andrew Christiansen: As it relates to the year, right, I guess, I want to remind everybody that we had several kind of significant reductions in 2020, certainly as it relates to kind of the - what we call our COVID impacts, both the [G&A] [ph] as well as marketing costs were down significantly. But probably the biggest item I want to remind everybody is the amount of incentive compensation that was down considerably, both from us not meeting our targets for the year, but also we moved to a fairly sizable amount of that compensation from cash to stocks. And so that's all kind of coming back in. So when I look kind of combined in 2021, both those COVID impacts, as well as the annualization of our investments that we made last year, we're going to have probably about a 20% or $20 million increase in our cash operating expenses. So certainly, we're going to be looking to make some more investments on top of that. We see a lot of opportunities for investments. But we're obviously going to be very prudent in how we do that to make sure that the timing of those investments kind of correspond with our return to growth as we talked about. But that's really how I see the year kind of unfolding there.
Lynne Laube: And just as a reminder to everyone, the Dosh acquisition is not included in any of our numbers at this point. So not in our annual guidance, not on our quarterly guidance. That will be something that will come probably next quarter. But right now, it is just purely Cardlytics guidance that you’re seeing.
Andrew Christiansen: Yeah, that's right. Thanks, Lynne.
Chris Shutler: Okay. Thanks very much.
Operator: Thank you. Our next question comes from the line of Doug Anmuth with JPMorgan. Your line is now open.
Unidentified Analyst: Good morning. This is Dave [ph] on for Doug. Thanks for taking the questions. First one, just can you unpack your 4Q results a little bit more? Just curious where you saw the biggest surprise in your 4Q top-line results and were there any verticals that was particularly meaningful? And then just looking at the consumer spend recovery, how much has consumer spend recover overall relative to where we were last year? And I'm assuming travel as a vertical that are still lagging meaningfully, but are there any others where you'd expect to see greater recovery as we move through '21?
Andrew Christiansen: Yeah. Hey, this is Andy. So, I think in Q4, you know, we really had a nice tick up in the D2C area, as well specialty retail. Those are two of our strongest verticals. We continue to see, you know, weakness in travel, entertainment, as well as big-box retail. But certainly, I think we've been all very impressed with how our pivot to e-commerce has really paid off. We've really had a nice growth there. And then, you know, as far as, you know, next year, like we would actually expect to see a lot of those when we talked about our rise, retain, return, we fully expect to see some of that return start to tick back up as we get deeper into the year. We're - right now, we're still seeing travel down, you know, as you mentioned, probably about 75% year-over-year decline still. So, that'll begin to tick up and be a great tailwind for us. I'm not sure we're really expecting that to come back to where it was pre-COVID, but certainly, we're going to see some more strength there.
Lynne Laube: Yeah. And even though dining, just to add to that, while dining is starting to recover, it, too, is still down pretty dramatically, you know, 20% - 20%-ish-plus. So, you know, we expect to see continued slow recovery going throughout most of 2021, quite frankly in those categories.
Andrew Christiansen: That's right. Macro-level spend that we see, not just our results but what we see from all of our purchase data. Restaurant is still down 10% year-over-year as of a few weeks ago.
Unidentified Analyst: Got it. Thanks for that color. And then just as a super follow-up, I'm just curious on - if you guys have any update to share on your automated self-service platform development, if you're remaining on track for on 2121 plans, and how much of that is implement - included in your guide if any?
Lynne Laube: Say the last part of your question, I didn't hear it. How much of that is included in what?
Unidentified Analyst: In your guide. 2021 guide.
Lynne Laube: Yeah. So, first of all, we are ahead of schedule for implementing self-service and I will point out that the Dosh platform has some self-service capabilities that we will certainly be looking at integrating into ours and potentially be able to accelerate even more. We have hired an agency sales team. They are out actively working with agencies today as we speak. We continue to veto the self-service with the two agencies that we - we discussed, you know, in previous quarters, but we are now selling two more and expect that it will be - I think what we said to the street is, in the back half of 2021, we will tell you the amount of agency spend that is running through the platform, as they engaged for how self-service is being adopted. And we remain very confident that we'll be able to give you those numbers in. And they may not be material relative to our overall billings number, but they will be material relative to what we get from agencies today which is effectively zero. And obviously, only growth from there.
Unidentified Analyst: Okay. Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Jason Kreyer with Craig-Hallum. Your line is now open.
Jason Kreyer: I just wanted to follow up on those vertical questions. Is - is there any way to quantify where verticals like travel and entertainment are today? Just wondering if we can try to understand the potential upside is - if those two come back online. And then from - from a Dosh perspective, are there any major differences in the vertical exposure there? Cares [ph] if that gets you in any categories where you're not currently pursuing?
Lynne Laube: I'll take the Dosh question and let Andy talk about the verticals. Dosh is largely similar in terms of the verticals with there in and we are in. With potentially the notable exceptions that we've discussed, they have a lot more local content than we do through their partnership with Rewards. So, we're excited to bring that into our overall network. They also have an interesting travel solution that obviously is dramatically suppressed right now. As we've discussed, travel it's still way down. But an interesting travel solution where, you know, consumers can actually book their own travel through the Dosh app. That's something that, you know, I think many of our - our bank partners could be interested in, maybe not the largest banks, but many of our mid-sized banks. So, we'll see how that plays out in the future, but other than those two notable exceptions, they're largely in the same types of verticals that we're in.
Andrew Christiansen: Yeah. I'll give you a couple of interesting pieces to really start our verticals. You know, lines are definitely blurring right in e-commerce and retail. But what I will say is that as we track it, our direct-to-consumer is our largest vertical as of Q4. Now, that compared to, say, our travel vertical which is 10% to 15% of the size of the D2C vertical, so that gives you kind of a order of magnitude of how much travel has come down and the opportunity is still out there for that to come back next year. So, hope that kind of helps you actually.
Operator: Thank you. [Operator instructions] Our next question comes from the line of Aaron Kessler with Raymond James. Your line is now open.
Aaron Kessler: Great. Thanks, guys, and congrats on the quarter. On the sales headcount, can you just give us something an update how are you expecting investing in the sales side in 2021 or salesforce and maybe how that compares to 2020. Also, with a plan B to integrate sales with Dosh, maybe just give us an update on kind of how's Dosh kind of a go-to-market approach from a salesforce perspective as well?. Thank you.
Lynne Laube: Yeah. I'll take the Dosh question first. Their go-to-market approach is similar to ours. They obviously have a sales team that's out there calling directly on advertisers. They do tend to call potentially on different parts of the advertising business. As we've said, they have some affiliate budgets for sure. They also have just - they're smaller in scale, and so they are definitely in different parts of some of the organizations where we have overlap. But, you know, a very similar approach to sales overall.
Andrew Christiansen: Yeah. And as it relate to headcount, our sales, and marketing - excuse me, our sales and marketing, surprising enough year-over-year at the end of 2020 compared to end of 2019, is actually down by one in the US. A lot of that has been really upskilling some positions and some of the efforts that we made to become more efficient, as you remember, at the beginning of 2020. So, we haven't seen a significant rise in the actual number of heads in the sales organization. We certainly look out at some of the investments, and I talked about before in 2021. So, one of those would include a handful of folks. We're not expecting to dramatically increase the size of the sales organization in order to achieve our goals for next year, but we are certainly looking to make some investments both in our analytics teams, in our some of our sales readiness organization, and the like.
Aaron Kessler: Great. And maybe just quickly the B2C [ph] side, how much of that improvement was made from newer clients added over the last few quarters versus maybe existing clients that shifted more to e-commerce? Thank you.
Andrew Christiansen: So, B2C didn't quite double - actually, it did. It doubled year-over-year in Q4 and a healthy amount of that is going to be new logos.
Lynne Laube: Yeah. The vast majority of that new logos, when you compare it to a year ago.
Aaron Kessler: Great. Thank you.
Operator: Thank you. Our last question comes from the line of Josh Beck with KeyBanc. Your line is now open.
Josh Beck: Thanks for taking the question, team. I wanted to ask about Dosh and maybe the impact, if any, on the long-term vision in terms of maybe where you can be from a MAU perspective, you know, as we think out five years because it seems like you were really focused on obviously the core banking community and their users seems to open up users that might not necessarily have been included in that population. So, I'm just curious to hear your thoughts there.
Lynne Laube: No, you're right. I mean, we see this as very complementary. They are generally focusing on financial institutions or organizations that are different from our traditional core banks. And so, we see it as very complementary and, you know, allows us to really go after that with neo-bank and emerging fintech kind of marketplace. As we - I think, we've discussed in past quarters that Cardlytics technology is definitely built for a very, very large institutions that are highly regulated and have significant legal regulatory compliance kinds of requirements. The Dosh platform is quite a bit more nimble than ours because they haven't had to build some of those same, you know, aspects. And so, I think it's going to be a really great, fast, flexible, nimble platform for us to go after some of these, you know, emerging fintech and even non-fintech partners. In terms of what it does to the MAUs, we're not commenting on that yet because we want to really understand but I do think your general comment on is there expansion for MAUs here, I absolutely believe there will be. But exactly how much, that's something that will come in future quarters.
Josh Beck: Really helpful. And then maybe a follow-up for Andy on some of your expense commentary that was very helpful, related to incentives and T&E, so we can obviously all build that into our models. On the other piece of it which is it seems like there was maybe some dependence on the way the recovery plays out. For example, if maybe you feel like the recovery is better than your assumptions and you're moving may be more toward the higher end of the range, you'd really look to reinvest some of that upside. I don't know if that was exactly the message, but would you just want to clarify with how you were, you know, really considering the other investment categories relative to the pace of the business?
Andrew Christiansen: Yeah. I think you're exactly right. I mean, I think as we look out to next year, we still see quite a bit of intriguing investments to make that we think will drive long-term value. And I think we're just trying to be as prudent and as responsible as we can just given the amount of uncertainty that still exists. You know, we put a little bit probably a wider range out there than we - maybe have in the past certainly in the year. But I think that that's because of that uncertainty. So, we're just trying to make sure that we manage those investments. I think to your point, we will look to invest to the extent that we end up, you know, hitting some of our, you know, goals for next year.
Josh Beck: Really helpful. Thank you.
Operator: Thank you. There are no further questions. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a great day.